Operator: Good morning. My name is Amy, and I will be your conference operator today. At this time, I’d like to welcome everyone to the Third Quarter Fiscal 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Al Heitmann, Executive Vice President and Chief Financial Officer, you may begin your conference.
Alan C. Heitmann: Thank you, Amy, and good morning, everyone. Welcome to the Ferrellgas Partners fiscal 2015 third quarter earnings conference call. I’m Al Heitmann, Executive Vice President and Chief Financial Officer. And joining me today is Steve Wambold, President and Chief Executive Officer; Boyd McGathey, Executive Vice President and Chief Operating Officer; Tod Brown, Executive Vice President and President of Blue Rhino; Todd Soiefer, Senior Vice President of Strategic Development and Julio Rios, President and Chief Executive Officer of Bridger, LLC. Before we get started this morning, I’d like to remind all of you that some of the statements made today during our call maybe considered forward-looking, and that various risks, uncertainties and other factors could cause actual performance to differ materially from anticipated performance. These factors are discussed in our Form 10-K and other documents filed from time to time with the SEC. So with that out of the way, I’ll turn the call over to Steve Wambold, President and Chief Executive Officer for his opening remarks. Steve?
Stephen L. Wambold: Okay. Thank you, Alan. As Al mentioned, joining us on the call today is the full executive team from Ferrellgas and also we welcome Julio Rios. As Al mentioned, he is President and CEO of Bridger Logistics. I’m sure you all steadied up on that business in the past week. And speaking of Bridger, as you likely know, we did enter into a purchase and sale agreement to acquire Bridger Logistics. We do expect to close this transaction in the next few days -- 30 days, excuse me, and this transaction does represent a significant step forward in our pursuit to achieve strategic diversification, while we’re very excited to answer any questions you might have about that transaction. First, we have a little business to attend to on the other side of the fence here. Q3 was something of a rollercoaster for us. We did come out of the gate very strong. We posted excellent Q2 results, and we did start off the quarter with some momentum from a weather and degree day standpoint. However, for the quarter, temperatures across the country were 6% higher than prior year and as could be expected our propane volume declined accordingly. Further, crude prices continued their downward trend, which put pressure on our stable midstream operations. However, in response, our retail operations group were very disciplined. They did flex down their expenses as designed. Total operating expenses were favorable by more than 6% over the prior year levels, and wholesale propane costs are 55% lower than prior year and that helped us to maintain healthy margins across the board. You will hear more from Tod Brown later on Blue Rhino, but they did continue their growth trend. They did exceed quarter-over-quarter transaction growth for a seventh consecutive time. Again, more color from Tod here in a minute. DCF to equity investors in the quarter was $70 million, which produced DCF coverage of 1.12x for the TTM. While Q3, ’15 adjusted EBITDA of $96.3 million is down 4% from $99.8 million in the prior year quarter, we’re comfortable reiterating our fiscal ’15 adjusted EBITDA guidance of $300 million to $320 million, which would mark another record year. And as a reminder, in fiscal ’14 we did report adjusted EBITDA of $288 million. It should also be noted that even in light of the Bridger transaction the acquisition environment does remain very attractive. We do have a robust deal pipeline and we’re very committed to exploiting accretive complimentary acquisitions in both the propane and the midstream phase. And we continue to evaluate those opportunities to understand if they fit our model and we will move decisively if circumstances are favorable. And with that, I’ll now turn it over to Tod Brown, the President of Blue Rhino.
Tod D. Brown: Thank you, Steve. As an industry leader in the tank exchange category Blue Rhino continue to experience growth during the quarter. As you’re aware the third quarter represents the beginning of our spring selling season to which I’m very pleased to say that our volume did get off to a solid start. As Steve had mentioned, during the quarter, Blue Rhino experienced growth of over 2% versus the prior year third quarter. This is the seventh straight quarter that we’ve experienced transaction growth, and we look forward to continuing this trend. The early spring selling season was up against a very, very strong 3Q in 2014. The comp store sales were supported by promotional activity at some of our key retail partners that wanted to build their early spring sales for their outdoor living departments. The promotions coupled with favorable weather for drilling solidified our growth year-on-year. As summer is upon us, I will tell you that the Memorial Day holiday did not eclipse prior year holiday volume due to the significant flooding in the south and poor weather throughout the Midwest portion of the country. Although this was disappointing, we’re still in the early portion of our summer selling season, we’ve Father’s Day and the 4th of July just around the corner. That concludes the comments on Blue Rhino’s third quarter performance. And with that, I’ll pass the call back over to our CFO, Al Heitmann.
Alan C. Heitmann: Thanks, Tod. As Steve previously mentioned, strong expense controls and lower propane wholesale costs helped partially offset the effects of warmer temperatures and the lower crude oil prices, which negatively affected our midstream operations. Temperatures in the quarter were 6% warmer than those of the prior year, and crude oil prices dropped 33% in the quarter. Our retail operations team once again flexed our variable expenses down, reflecting the impact of warmer temperatures. This together with the lower cost of diesel and gasoline allowed us to keep our operating expenses below prior year levels in spite of the additional costs associated with midstream and propane operations we acquired in 2014. Adjusted EBITDA for the third quarter was $96.3 million for the quarter, slightly below the $99.8 million from the third quarter of last year. For the trailing 12 months ended April 30, we posted adjusted EBITDA of $293 million and distributable cash flow of $188 million yielding a distributable cash flow coverage of 1.12x. And again as Steve mentioned before, given our performance for the first nine months of the year, we’re comfortable reiterating our full-year adjusted EBITDA guidance of $300 million to $320 million for fiscal 2015. Now to some of the details. Propane sales volumes in the third quarter were 246 million gallons, down slightly from the 258 million gallons we posted a year-ago. This decrease is primarily due to nationwide temperatures that were 6% warmer than the prior year. Although negatively impacted by the recent drop in crude oil prices, we’re pleased that our midstream operations processed 5 million barrels of water in the quarter, which is in line with our expectations. Total gross profit for the quarter was $219 million, reflecting margins that benefited from an approximate 55% decline in wholesale propane prices when compared to the same period a year-ago, but also reflective of lower propane sales volumes due to the warmer temperatures. The gross profit generated from our midstream operations was $3 million. While this is below our expectations, the unfavorable variance is primarily due to the decline in the price of crude oil. Our operating expense for the quarter was $107 million, down from the third quarter of 2014 with operational efficiencies from our propane operations and lower cost of fuel offsetting the incremental expenses associated with our midstream and propane acquisitions completed in 2014. General and administrative expense for the quarter of $8 million was also down from the prior year due to the timing of performance-based incentives. And finally, interest expense for the quarter was $24 million, up from $20 million in the year ago primarily due to the issuance of new debt to fund acquisitions. And again as mentioned previously, all of this results in an adjusted EBITDA for the trailing 12 months of $293 million up from the record we set at the end of 2014 of $288 million. Distributable cash flow for the trailing 12 months was $188 million or 1.12x our distributions. This concludes my comments on the financial performance of the partnership. At this time I’d like to turn the call back over to Amy, so we can address any questions there might be from the analyst group.
Operator: [Operator Instructions] Gentlemen your first question comes from the line of Jeremy Tonet from J.P. Morgan. Jeremy, your line is open.
Jeremy Tonet: Can you hear me there?
Stephen L. Wambold: Yes. Good morning, Jeremy. How are you doing?
Jeremy Tonet: Good. Congratulations on the transaction. Just want to touch base with regards to reaffirming guidance for this year. Was there any benefit from Bridger baked into reaffirming 2015 guidance? I just want to kind of clarify that.
Alan C. Heitmann: Yes, we’ve taken into consideration the anticipated closing of Bridger in the next 30 days in that $300 million to $320 million range.
Jeremy Tonet: Okay, great. And if we could kind of move forward into 2016 and think about what EBITDA might look like there. Is it a fair starting point to say that, if we look at kind of guidance range for this year and then tack on the $100 million of EBITDA from Bridger that could be kind of a fair starting point for what next year EBITDA could look like or do you see any other major gives and takes that would change that type of math?
Stephen L. Wambold: No. I think that’s a fair statement, Jeremy. I think you’re tracking along the right expectation.
Jeremy Tonet: Okay, great. And then, moving to the acquisition. I appreciate that you haven’t closed yet and you might be somewhat limited in what you could say. I was just wondering as far as, organic growth opportunities on that -- on this new midstream platform, if you could expand a little bit there on how you see that and how that competes for capital versus the M&A opportunities you’re looking at as well?
Stephen L. Wambold: Okay. Well, I’ll tell you what, I think I’ll kick that over to Julio Rios to let him answer the first part of that.
Julio Rios: Yes, Jeremy, great to have you on the call. Look, we have a list of growth projects that we want to start executing on as soon as we close this transaction, some of those we’ve been working previously – previous to entering into the definitive agreement with Ferrell. A lot of it is, it’s more of an expansion of our currently existing asset base, whether it’s truck transportation, pipeline terminals, pipelines, rail, or maritime, our growth will be in those areas. We also look to see how we can optimize and integrate the stable business with the field people that we have in place in South Texas and to cut cost by sharing expenses through those two businesses. I’d like to kick it over to Tod in terms of where we compete for capital for our growth projects.
Tod Brown: Right. Thanks, Julio. So on the M&A side, we’ll still be quite active in looking at tuck-in acquisitions for our existing platforms as well as new things to get into. So, by no means will organic growth at Bridger slow us down on the M&A front. We’ll look at everything together and try to make the right decisions for the company on an overall basis to get the growth that we’ve been seeking.
Jeremy Tonet: Great. Thanks for that. And looking in the M&A pipeline, from what you guys see, is the opportunities that look similar to Bridger or could you provide any color on what type of opportunities would be of the most interest to you guys right now?
Tod Brown: We’re obviously building up on the platform that we have here. Bridger is a great growth vehicle for us and there is going to be tuck-in acquisitions within the Bridger platform and then we’ll continue to look at strategic opportunities outside of Bridger within our previously stated standards.
Jeremy Tonet: Okay, great. Thanks for that. That’s it for me.
Stephen L. Wambold: Thanks, Jeremy.
Operator: [Operator Instructions] There are no further questions. I would now like to turn the call back over to the presenters for closing remarks.
Stephen L. Wambold: Okay. Thank you, Amy and again, thank you everyone on the call. A lot of you have been with us for a couple of weeks now as we’ve been announcing this transaction. We appreciate the time and participation. We look forward to updating you in the next quarter which will include a more robust rollout including our new business Bridger. Have a great day. We’ll talk to you soon. Thanks. Bye.
Operator: This concludes today's conference call. You may now disconnect.